Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter Medical Properties Trust Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we’ll conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded.I would now like to introduce your host for today's conference, Charles Lambert, Managing Director. Please go ahead.
Charles Lambert: Good morning. Welcome to the Medical Properties Trust conference call to discuss our second quarter 2019 financial results. With me today are Edward K. Aldag Jr., Chairman, President, and Chief Executive Officer of the company; and Steve Hamner, Executive Vice President and Chief Financial Officer.Our press release was distributed this morning and furnished on Form 8-K with the Securities and Exchange Commission. If you did not receive a copy, it is available on our website at www.medicalpropertiestrust.com in the Investor Relations section. Additionally, we're hosting a live webcast of today's call which you can access in that same section.During the course of this call, we will make projections and certain other statements that may be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to known and unknown risks, uncertainties, and other factors that may cause our financial results and future events to differ materially from those expressed and/or underlying such forward-looking statements.We refer you to the company's reports filed with the Securities and Exchange Commission for a discussion of the factors that could cause the company's actual results or future events to differ materially from those expressed in this call. The information being provided today is as of this date only and except as required by the federal securities laws, the company does not undertake a duty to update any such information.In addition during the course of the call, we will describe certain non-GAAP financial measures which should be considered in addition to and not in lieu of comparable GAAP financial measures.Please note that in our press release Medical Properties Trust has reconciled all non-GAAP financial measures to the most directly comparable GAAP measures in accordance with Reg G requirements. You can also refer to our website at www.medicalpropertiestrust.com for the most directly comparable financial measures and related reconciliations.I will now turn the call over to our Chief Executive Officer, Ed Aldag.
Edward K. Aldag: Thank you, Charles, and thank you all for listening in today for our 2019 second quarter earnings call. Starting late last year, we reported to the market that we were in active negotiations on approximately $5 billion of investment opportunities around the globe.Our initial 2019 acquisitions guidance was for $1 billion. We increased that guidance in February of this year to $2.5 billion. We recently announced that we have now committed to $3.4 billion of our pipeline.Since the 1st of the year, we've announced acquisitions in Australia, Switzerland, the U.K., and the U.S. The blended GAAP yield on the total $3.4 billion is approximately 8% which is right in line with our expectations we've been discussing for the last three quarters.Our portfolio now includes properties in seven countries on three continents. We expect that we will continue to have significant announcements on growth opportunities throughout the year and beyond. We continue to see large acquisition opportunities here and in the U.S. and abroad.Hospitals continue to consolidate and the sale leaseback transaction is recognized throughout the world as an important part of the capital structure. MPT continues to be recognized the -- as the global leader in hospital real estate financing.Operators across the globe recognize and appreciate MPT's strong working knowledge of hospitals. The fact that our people came out of owning and operating hospitals gives operators a tremendous amount of confidence in choosing us to be their long-term financing source.We have grown to 36 best-in-class operators in the U.S., Europe, and Australia. We are pleased to report that these operators include for profit and not-for-profit operators. The $3.4 billion is made up of $1.55 billion for Prospect Medical Holdings, a $145 million for Saint Luke's, $440 million for a portfolio of Ramsay hospitals, approximately $900 million for Healthscope ,$237 million for Infracore, $45 million for BMI, $45 million for Aevis, the parent company of Swiss medical network; and $33 million of investments in properties for existing operators.These investments will bring Steward's concentration in our portfolio to 30% from 39.5%. Most importantly to us because we underwrite each individual property, not just the parent company, no one property will represent more than 2.8% of our portfolio. Our focus on general acute care hospitals continues to be our top priority.Total portfolio-wide general acute care hospitals will grow from 70% to over 80%. Each of these acquisitions will be immediately accretive. The $3.4 billion year-to-date acquisitions have the blended GAAP yield of approximately 8%, which is in the range of our previously guided 7.5% to 8.5%. The establishment of six new operator relationships, including one A rated not-for-profit health system, add significant strength to our existing portfolio.In the last couple of years the attitudes of not-for-profit systems in the U.S. has clearly become more receptive to the use of MPT's sale leaseback structure. Since then we have created important relationship with systems such as the University of Colorado health system, Dignity Health, the world-renowned Ochsner Clinic and now Saint Luke's Health in Kansas City.Our portfolio is one of the strongest portfolios in the REIT world. With today's announcement, we now have a portfolio with an incredible geographic diversification in seven countries across three continents, 30 U.S. states and 36 different operators. Our operators are some of the strongest and highest quality operators around including investment grade rated not-for-profit operators. Year-after-year we have proven our growth strategy with record annual acquisitions. Our portfolio generates strong stable cash flows with 76% of our rent and interest expiring beyond 2029.Let me go over the most recent investments in a little more detail. I'll start with the Prospect Medical Holdings. We are investing in 14 acute care hospitals and two behavioral hospitals. Prospect is a fully integrated health care management company led by an experienced management team. They are vertically integrated and provide services to patients through hospitals medical groups and coordinated regional care. Their focus is on urban densely populated areas. Their hospitals are mission-critical hospitals serving as the major part of the health care infrastructure to the communities they serve.Those of you who have followed us know that when we are doing underwriting the first questions we ask are: Are these hospitals needed in the community? And what happens to the patients of they serve if they were to close? The answer to those questions were the Prospect hospitals is that they are actually needed in their communities and the patients they serve would not have other places to get their health care needs met, should these hospitals close. These are important hospitals for the payers and the patients in their communities.The management team of Prospect is an experienced award-winning team with extensive health care backgrounds in operating these types of facilities. In addition to their hospitals, they have approximately 160 outpatient facilities, 750 employed physicians and 500,000 members managed. On a consolidated basis, their payer mix is comprised of approximately from 31% Medicare, 33% Medicaid, 23% commercial insurance, and the remainder is self paid. We expect the first year's rent coverage to be 2.25 times. Prospect's Southern California consists of five acute care hospitals and two behavioral health hospitals, located primarily in L.A. County, with a large IPA network, which is the platform for Prospect risk-based contracting and population health management strategies.The California market is well established with stable operations, making up over 50% of Prospects total hospital EBITDAR. The company has built a successful business model, providing patient care services at lower cost of Medicaid patient populations, relieving pressure from larger hospital networks. Prospect's four-hospital system in Pennsylvania is the dominant provider in Delaware County, one of the core metropolitan counties of Philadelphia. They are a leading integrated delivery network providing leverage and negotiating with managed-care payers. The system is anchored by Crozer-Chester Medical Center, a 300-bed hospital providing high acuity services in a local setting, allowing patients health care access, near home rather than out migrating to a larger market.Prospect has spent significant time integrating these recently acquired facilities, positioning them to realize significant EBITDAR growth through implementation of Prospect's business model and in-place strategic opportunities. Waterbury is a 357-bed acute care hospital, located 30 miles southwest of Hartford Connecticut with access points throughout the community. Through their resume program with Yale, Prospect is able to retain a significant number of graduates on their prestigious medical staff. This high-performing hospital is designated as a level two trauma and face more than 50,000 ER visits per year.Eastern Connecticut Health Network is a two-hospital system located east of Hartford Connecticut with a long history as the sole community provider and numerous access points. Through its large physician network, ECHN has laid the foundation for and is poised to take advantage of the transition to value-based health care and population health management in this region. It is also important to note that the behavior we unit at the Rockville facility is distinguished as having one of the only two secure eating disorder units in the country.Next, let me address the Saint Luke's community hospitals that we've invested in. There are seven essentially brand-new facilities all of them have been built within the last two years. These facilities are small community-based full-service hospitals often referred to as micro hospitals. All are part of the Saint Luke's Health Care System. Saint Luke's is an A1 A plus rated health care system. These are all located in suburban Kansas City area.Most recently, we announced a $440 million investment in an eight Ramsay hospital portfolio. Ramsay is the fifth largest private hospital operator in the world and operates 480 health care facilities across 11 countries. On May 27, we made an investment in Infracore, which owns 13 acute care campuses across Switzerland. These hospitals are leased to Swiss Medical Network, Switzerland's second largest private hospital operator.Recently, we also made an investment of approximately $50 million in the parent company of Swiss Medical Network. We expect that we will be able to not only increase our ownership in Infracore, but to grow significantly with additional hospital investments within Infracore.A quick update on our existing portfolio. We added a net seven properties to our same-store reporting, all of the additions to the same-store reporting were German inpatient rehabilitation facilities. Our same-store portfolio EBITDARM coverage for the trailing 12 months Q1 2019 is 2.96 times which is slightly down from 3.07 times year-over-year.Same-store acute care EBITDARM coverage is 3.48 times, which represents a slight 4% decrease year-over-year. IRF EBITDARM coverage is 1.87 times, which also is slightly down from 1.93 times year-over-year. This is primarily due to decreased coverage at two medium facilities, one of which is undergoing renovations in 2019 and the other suffered from a shortage of nurses and therefore limited capacity. LTACH's EBITDARM coverage is 1.44 times, which is in down 14% year-over-year. But remember that LTACHs only represents about 2% of our total portfolio.And at this time, I will ask our CFO Steve Hamner to go over the specifics on the financial performance and health of Medical Properties Trust. Steve?
Steven Hamner: Thank you, Ed. This morning we reported normalized FFO of $0.31 per diluted share for the second quarter of 2019. These results exceeded consistent -- consensus expectations even following a quarter of diluted equity issuance. This speaks to the strength of our current portfolio and line up of leading operating hospital operators. The only meaningful adjustment to May-redefined FFO to arrive at our normalized FFO is for about $900,000 in financing cost, related to our AUD 1.2 billion unsecured five-year 2.45% loan to fund the Healthscope acquisition.I'll remind you that on last quarter's call, we described a change in accounting principles that now requires REIT to gross up certain real estate expenses that are the contractual responsibility of the REIT tenant. These include property taxes, ground lease payments and insurance. In this quarter's results are about $6.4 million of such cost included in property-related expenses? This entire $6.4 million was recovered from our tenants and is included in rental revenues. Due to the technicalities of the new accounting requirements, these amounts may vary from quarter-to-quarter.G&A expenses were approximately $22.3 million in the second quarter, a $1.2 million decrease from the first quarter. Most of the decrease relates to the assumptions that drive our estimate of achievement of certain pre-established performance goals for share-based compensation expense such as total return to shareholders, FFO per share growth, acquisition volumes and adjusted return on equity.As we noted during last quarter's call, we continue to estimate that total quarterly G&A will range between $23 million and $25 million. Although the $3.4 billion in new hospitals we have announced since the beginning of the year will result in some additional overhead costs, these incremental costs will be very small relative to the related incremental revenue.Based on the $3.4 billion in acquisitions that we have announced so far this year, we expect that once closed, our portfolio will generate normalized FFO of between $1.56 and $1.58 on an annualized basis. This run rate is based among other considerations on our continuing assessment of the performance of our tenants. And to the extent, we believe there is a likelihood that some rent may not be collected we reduced our run rate estimate.The follow-up on an impairment charge that we recognized about a year ago, we believe the operators of two of our smaller hospitals may elect in the near term to close those hospitals. Even if they are closed, we expect no further financial impact and no impact on our run rate range.With the exception of our most recent announcement last week of the $441 million acquisition of eight hospitals in the United Kingdom operated by Ramsay Health Care, we have already arranged permanent funding for this year's announced acquisitions. Based on this and then permanently funding the Ramsay assets, we will maintain our very conservative leverage profile of between five times and 5.5 times our EBITDA.One of the significant benefits of our substantially increasing scale and our prudent leverage policies is their impact on our cost of capital. Just two weeks ago, we completed an oversubscribed equity offering and a very successful offering of unsecured 10-year notes at an interest rate that is at least 100 basis points lower than we could have achieved less than a year ago.We've already mentioned the 2.45% rate on the unsecured bank debt that we used to finance our Australian assets. And we expect to permanently fund the $441 million in U.K. assets at a cost of capital that will generate outstanding and annually growing investment spreads.When considered with the lowest cost of equity capital in our history, the unprecedented expansion of hospital investment opportunities in the developed world and MPT's unquestioned position as the leader in this market, we are very enthusiastic about the likelihood that we will continue to deliver some of the strongest growth in the REIT world.And with that, we'll be happy to take questions. Operator?
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Derek Johnston with Deutsche Bank. Your line is now open.
Derek Johnston: Good morning or good afternoon guys. How are you doing?
Edward K. Aldag Jr.: Fine. Thank you.
Derek Johnston: Looking at current opportunities that you see in front of you, what are your views, or what are you seeing out there on the ground on pricing? So that -- let's look at cost of capital versus cap rate. And have you seen any increase or decrease in competition for hospital assets?
Edward K. Aldag Jr.: Look Derek from a pricing standpoint, we're seeing essentially stable prices from what we've been announcing from the past year, which is that we'll continue to probably be in that 7.5% to 8.5% range. Primarily, we're looking at general acute care hospitals both here in the U.S. and abroad. Our competition abroad has probably picked up slightly. We have the sovereign wealth funds and the insurance companies and some other international investment companies that are looking at hospitals. Here in the U.S., we continue to see the same group of people that we've seen for the last number of years without any increased competition, but certainly not only decreased competition.
Derek Johnston: Okay. And then secondly, what is the targeted mix between U.S. and International? And I guess where you see the exposure of general acute currently around 81% of pro forma? And then lastly, what is the right operator exposure mix in the U.S.? And that will be it for me. I'll re-queue if I have anything else.
Edward K. Aldag: Sure. Derek, we have saying since we first went to Europe that we would like to see the range of international investments be in the 30% to 35% range. We're about 25% right now. Obviously, given our acquisition growth, it's not going to stay in one spot very long, but generally speaking in the 70%, 30% range with 70% being in the U.S.
Derek Johnston: So, general acute…
Edward K. Aldag: General acute. Yeah. So general acute we continue to expect to see that grow as a percentage of our overall portfolio. We believe that going back at least to the debate over what duration we were going to go and health care in this country going back to 2008 and before, the general acute care hospital, it's truly at the top of the pyramid for the delivery system in this country, and that's the same case overseas as well. So we'll continue to focus primarily on that and you'll see that number grow from the 80% that we are now.The second -- third part of your question I believe was our exposure to any one tenant. That obviously fluctuates from time-to-time again given what our acquisition pipeline looks like. We've been as high as in the 40% with the tenant many, many years ago. We've gotten Steward down to 30% right now. We'd like to see our largest tenant being in the mid-20s.
Derek Johnston: Thank you. Good, sir.
Edward K. Aldag: Thank you.
Operator: Thank you. And our next question comes from the line of Chad Vanacore with Stifel. Your line is now open.
Chad Vanacore: All right. Thanks. So Ed, you mentioned -- or actually Steve you mentioned few hospitals close -- or expected to close. Can you give us what type of assets they are? And where the location is, and why the closure? And maybe how large and what's the coverage of those master leases that they're in?
Steven Hamner: So, these are very small general acute care hospitals and as I mentioned we've already reduced their carrying value to no more than what we expect to recover if in fact they're closed and we have to dispose of them in a stress situation. The go forward rent is not included in our pro forma guidance and because there haven't been any public announcements yet, we probably shouldn't try to identify geographically.But they're very, very small relative to the whole portfolio. I know -- I'll just point out that today we have almost 340 hospitals in the portfolio. As long as we're that big and spread out then at any one time going forward it's likely that there will be a very, very limited number of hospitals that are undergoing some stress. But we -- as I said in my prepared comments, we know impact either on the balance sheet or go forward operating FFO from these two facilities if in fact they do close.
Edward K. Aldag: Chad, there are a number of reasons why they may close and when -- they're public announcements are made we can talk about it in more detail. But it's essentially internal and external reasons. Some reasons totally out of their control. Steve said, they're very small hospitals, we took an impairment last year, and we don't expect to have any further losses.
Chad Vanacore: All right. And then on the upside, you made some -- more comments about larger pipeline and maybe some more consolidation in the industry. Can you fill that out with what you're seeing in the market? And where you -- how big you think the pipeline can potentially get?
Edward K. Aldag: Look Chad, I don't think anybody believed me last November, when I said, we were actively working on $5 billion. So I need to give you the number again, because I don't think anybody would believe me. But it's a big number. It's a large number. I do expect a good portion of it to close for the remaining part of the year. They are strong general acute care hospitals and portfolios that we'll continue to add to the strength of our portfolio and further diversification.
Chad Vanacore: All right. I’ll hop back in the queue. Thanks.
Edward K. Aldag: Thanks.
Operator: Thank you. And our next question comes from the line of Michael Lewis with SunTrust. Your line is now open.
Michael Lewis: Hi. Great. Thank you. So you gave the $1.56 to $1.58 normalized guidance. Are there any items that you're aware of now that would cause FFO to be different from normalized FFO? And then how do you expect the AFFO deductions to be trending, I guess straight line being the biggest one?
Steven Hamner: You're right. Straight line will continue to be the biggest really perhaps only meaningfully sized adjustment to AFFO. And your first part of your question I'll ask you to repeat.
Michael Lewis: Yeah. What do you expect -- so the straight line, do you expect that to trend up or down or stay where we're at?
Steven Hamner: I think if you look at this quarter run rate, you should see it go up somewhat because of the lease of the couple of the large new leases that we haven't in fact closed on yet. So you'll see that continue to go up somewhat.
Michael Lewis: Okay. The first part of the question was just that there's anything that you're aware that will cause normalized FFO to be different from AFFO?
Steven Hamner: No.
Michael Lewis: Okay. Kind of piggy back down to -- on the question you answered before. It seems like you've been buying up everything in your pipeline. As far as what might be on deck for the second half of the year, is there any way you could ballpark the size of what we're talking -- potentially talking about? And then maybe the mix in the U.S. and abroad as well given the difference in the cap rates?
Edward K. Aldag: Well, Mike let me remind you on the difference between the cap rates, the spread is actually probably larger in Europe than it is here in the U.S. From a standpoint of the remainder of the year, it's probably pretty close to 50/50 in the U.S. and abroad. And as we get a little bit closer, we certainly will let you know what that number is. But at this point I'm -- we're just not ready to announce.
Michael Lewis: Okay. And then just lastly for me, maybe a tough one to answer in this forum. But I'm just wondering if there’s anything you could share that you gleaned from the Steward financials, which are now public. There were a lot add backs to get to EBITDAR. I was just wondering if you could comment on how you feel where your comfort level is at if there is changes or improvements you'd like to see or what your thoughts are?
Edward K. Aldag: Overall Steward is performing very well. I think the most exciting thing about the Steward portfolio to me is that the northeastern properties probably performed better than we expected. And when you look overall at their coverage being in the 285 range today and we expect to see that continue to grow. We think that their integration is probably gotten all behind them. And so we're very pleased with where they are right now.
Steven Hamner: I'll just add Michael that there were no surprises to us in the add back these were expected by us. And again as you can imagine in growing the company from nine hospitals to 30 something hospitals across the entire U.S. and consolidating and combining multiple different operating systems and revenue systems, the add backs were well expected by us. And as Ed just mentioned, we think the integration cost going forward will be substantially lower than what we saw in 2018.
Michael Lewis: Thank you.
Operator: Thank you. And our next question comes from the line of Michael Carroll with RBC Capital Markets. Your line is now open.
Michael Carroll: Thanks. Ed or Steve, can you talk a little bit about the opportunity to partner with not-for-profit systems? I mean are these players more willing their real estate? Or it's just the Saint Luke's a little bit of an anomaly?
Steven Hamner: No. I don't think it is an anomaly. I think it's clearly an indication that we're in the early stages of more and more not-for-profit operators, acknowledging the strong impact that this part of a capital strategy can have going forward for them.In the past it's been difficult to get not-for-profit systems to even focus on cost of capital because it's kind of a strange concept to a noncommercial operator. But this will definitely not be the last transaction that we do and possibly even in the near future with a very highly rated well-recognized top not-for-profit operator. We do absolutely think that that market will continue to expand.
Michael Carroll: Okay. And what has changed there? Is that something in the marketplace that's changed? Or is this something that you worked with that executive team to help them see the benefits of selling the real estate?
Steven Hamner: Well, not-for-profit operators notwithstanding that that they don't have shareholders to report to they still face the same pressures that any hospital service provider has today whether not for profit or commercial. And they have to continue to find ways to operate more efficiently and they've been doing that for many years on the operating side, on the cost side, on the revenue management side, on the reimbursement side.They are well familiar with the sale leaseback structure because many of them have sold a significant part of their on-campus non-hospital assets. And so while it's not a completely new concept to them, they are beginning to learn that they can achieve the same benefits and very importantly to them, they're beginning to learn that they don't lose control of the hospital building itself just by virtue of signing a lease. They retain control; they retain operations for very often the entire useful life of the building. So, I would just I guess sum it up by saying they are facing the same pressures and the same demands that's causing them to continue to look at real estate financing.
Edward K. Aldag: And as more of their peers continue to use the sale leaseback mechanism for their hospitals it allows the others to actually have it as a part of their portfolio.
Michael Carroll: Okay. And then I guess last question I think Ed guess you mentioned that the Steward full financials would be released, I guess, in tandem with earnings or near earnings. Is that still expected to occur?
Steven Hamner: We do expect it to occur soon.
Michael Carroll: All right. Thanks.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Karin Ford with MUFG Securities. Your line is now open.
Karin Ford: Hi good morning. HCA stock took a hit this week after they said that hospital pricing was weak and admissions were down in some markets in the second quarter. You combine that with the CMS' proposal for price transparency in the upcoming election. How are you thinking about the macro backdrop for hospitals today?
Edward K. Aldag: Yes, we're still very positive on it Karen. If you look at the HCA report they -- overall, they actually had strong admissions across their portfolio. The biggest disappointment for them I think was that they didn't see the increases from their admission in revenue they felt they were going to see.And they had pressure on their operating expenses. But I think overall when you look at our portfolio and the hospitals that are not a part of our portfolio, we continue to see -- be very positive on the general acute care hospitals.
Karin Ford: Do you think that the price transparency discussion is going to have any impact on particular operators positively or negatively?
Edward K. Aldag: I do not. I think that there will be discussions with it and you'll see some confusion around it, but I think overall it's not going to have a negative effect.
Karin Ford: Okay. And then my last question is I think you mentioned in your prepared remarks that Prospect or one of the other new operators to your portfolio has significant outpatient facilities. Do you have any interest in acquiring those?
Edward K. Aldag: Not really unless they are a part of the big overall campus in the acute care, but not the outlying outpatient facilities.
Karin Ford: Okay. Thanks.
Operator: Thank you. And our next question comes from the line of Sarah Tan with JPMorgan. Your line is now open.
Sarah Tan: Hi thanks for taking my question. Just a quick one on the Prospect acquisition. So, saw an article that Moody's downgraded then -- their credit to negative a few months ago. Could you talk about how you underwrote that credit?
Edward K. Aldag: Sure. And as you -- if you read the Moody's report too, you see that it primarily had to do with what they're outstanding debt load was at that time. And 100% of that debt has been paid off with the proceeds from our transaction. So, we underwrite -- underwrote literally each individual hospital and are very comfortable with the operations of those hospitals and where the company is from a financial standpoint post this transaction from balance sheet.
Sarah Tan: Thank you.
Operator: Thank you. And that does conclude today's question-and-answer session. I would now like to turn the call back to Ed Aldag for any further remarks.
Edward K. Aldag: Thank you very much and we appreciate all of you listening in today. We appreciate your questions. If you have any further questions later today or tomorrow, please don't hesitate to give us a call. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may all disconnect. Everyone, have a great day.